Operator: Thank you for your continued patience. Your meeting will begin shortly. A member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. Please standby. Your meeting is about to begin. Thank you for standing by, and welcome to NetScout Systems, Inc. Third Quarter Fiscal Year 2026 Financial Results Conference Call. At this time, all parties are in a listen-only mode. A question and answer session will follow the management team's prepared remarks. As a reminder, this call is being recorded. If you require operator assistance at any time, please press 0. I would now like to turn the call over to Scott Dressel, NetScout's VP of Corporate Finance. Scott, please go ahead.
Scott Dressel: Thank you, operator, and good morning, everyone. Welcome to NetScout Systems, Inc.'s third quarter fiscal year 2026 Conference Call for the period ended December 31, 2025. Joining me today are Anil Singhal, NetScout's President and Chief Executive Officer, and Tony Piazza, NetScout's Executive Vice President and Chief Financial Officer. Please note that a slide presentation accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page and the quarterly results page. As discussed in detail on slide number three, today's conference call will include certain forward-looking statements about NetScout Systems, Inc.'s views on expected results of future performance and business strategy. These statements speak only as of today's date and involve risks, uncertainties, and assumptions that may cause actual results to differ materially, including, but not limited to, those described in the company's most recent annual report on Form 10-K and subsequent filings with the Securities and Exchange Commission. As discussed in detail on slide number four, today's conference call will also include discussion of certain non-GAAP financial measures that the company believes to be useful for investors. While the slide presentation includes both GAAP and non-GAAP results, other than revenue and balance sheet information, which are presented in accordance with GAAP, we will focus our discussion on non-GAAP financial information. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics to the nearest GAAP measures are provided in the appendix of the slide presentation, in today's financial results press release, and on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Scott, and good morning, everyone. Thank you for joining us today. Our third quarter fiscal year 2026 revenue and earnings results were ahead of expectations. These results were enhanced by certain product orders and service renewals that had been anticipated for the fourth quarter as customers used their remaining calendar year budgets. Year-end budget acceleration supported solid year-over-year results for the first nine months of our fiscal year, driven by growth across both our cybersecurity and service assurance offerings. Given our year-to-date performance, including the acceleration of certain orders, and our current pipeline, we are raising the midpoint of our top and bottom line outlook for fiscal year 2026. Let's turn to slide number six for a brief recap of our financial performance for the third quarter and the first nine months of fiscal year 2026. For the third quarter, total revenue was approximately $200.151 million, ahead of expectations and in line with the same period last fiscal year. Diluted earnings per share totaled $1, an increase of approximately 6% year over year. For the first nine months ended December 31, 2025, revenue was approximately $656 million, an increase of approximately 6% year over year, driven by solid growth in both our cybersecurity and service assurance offerings, which included the previously mentioned acceleration of certain logs. We expanded both our gross and operating margins during the first nine months of the fiscal year and delivered diluted earnings per share of $1.96, up approximately 15% from $1.70 for the year-ago period. Now let's turn to slide number seven for some perspective on our business and some market insights. Starting with our service assurance offering, revenue in the first nine months of the fiscal year increased approximately 5% year over year, driven by growth in the enterprise customer vertical, with strong contribution from both federal and non-federal government-related spending. Within our service assurance offerings, our enterprise customers continue to advance their digital information initiatives focused on AI, advancement, and observability at the edge. And we continue to innovate in those areas. Our recently released Omnice AI Center and AI Streamer work together as an AI ops solution to analyze, convert, and stream high-fidelity network packet data into actionable intelligence. It captures traffic across complex environments while the streamer processes this data for real-time visibility. The result is reduced risk and faster troubleshooting for IT and security systems. In January, the upcoming launch of the Ingenious Edge Sensor 795, which uses patented ASI technology and synthetic test analysis to generate the net for smart data that enables continuous observability across modern enterprise environments. This launch reflects the expansion of our capabilities with remote site observability, next-generation Wi-Fi, and digital experience mapping with expanded healthcare support and digital experience monitoring. Among our service provider customers in the service assurance area, we continue to see measured investment in 5G-related initiatives as they balance that investment with monetization opportunities. As we have discussed in the past, some of the newer opportunities related to fixed wireless and the potential for 5G network slicing could potentially be real revenue drivers and cost savers for communication service providers. Network slicing services are scaling rapidly as 5G standalone adoption starts to accelerate, and we believe NetScout Systems, Inc. is well-positioned to support this advancement. In January, we announced how NetScout Systems, Inc.'s 5G observability solutions give communication service providers end-to-end visibility into 5G standalone network slices that support high-performance services like immersive gaming, large-scale live sporting events, and mission-critical applications like remote surgery. Moving to our cybersecurity offering, revenue in the first nine months of the fiscal year increased 9% year over year, driven by growth in both our enterprise and service provider customer verticals. Organizations continue to invest in this area in response to a dynamic and complex cyber threat landscape, which, as we discussed last quarter, is explained in our latest on evolving distributed denial of service attack landscape and how these attacks can destabilize critical infrastructure. This threat landscape continues to evolve rapidly, and we believe our adaptive DDoS and Omnicex Cyber Intelligence solutions are well-suited to the growing security needs of our customers. In fact, in December, NetScout Systems, Inc.'s Omnice Cyber Intelligence with Omni Cyber Stream was named a 2025 cybersecurity award winner by Security Today in the network security category. This recognition reflects the platform's strong market relevance and advanced capabilities such as scalable deep packet inspection, real-time and historical analytics, and seamless integration to help security teams detect, investigate, and respond to digital threats. Additionally, in January, Frost and Sullivan named NetScout Systems, Inc. in its 2025 Global Company of the Year in the global network monitoring industry. Recognition of our outstanding achievements in real-time visibility, performance assurance, and cyber-resilient network intelligence. The award cited NetScout Systems, Inc.'s leadership in delivering measurable results as well as our record of innovations across complex, hybrid cloud, and enterprise environments. We are honored by these and look forward to showcasing network innovative solutions at upcoming industry events, including Mobile World Conference in early March and RSA Conference later that month. Moving on to customer wins, our service assurance and cybersecurity solutions continue to gain traction with customers seeking to enhance their visibility, observability, AI, and cybersecurity capabilities. A few highlights for the third quarter include a mid-7 figure order into our service assurance area from a new customer within the insurance industry. This customer engaged with us after their previous provider fell short in delivering a comprehensive, scalable visibility solution as the customer's needs expanded to include greater cloud and AI functionality. They also sought to consolidate multiple tools in favor of a single simplified platform. Overall, this engagement reflects a broader market trend. Organizations are prioritizing unified solutions built on high-quality data over fragmented tools that lack adaptability and scalability. Another service assurance win in the third quarter was a low 7-figure deal with an existing customer that is a large electric utility. They are focused on capacity expansion and using AI to improve safety and better monitor infrastructure health. This order included our AI streamer, which transforms high-fidelity packet-derived metadata into actionable intelligence. Customers are increasingly turning to NetScout Systems, Inc. to support their AI initiatives, recognizing that our high-quality smart data is an important component for successful AI and machine learning outcomes. In the cybersecurity area, we continue to see positive momentum. For example, we secured two additional mid to high 7-figure deals in Europe with existing customers. One is using our Omnice Cyber Intelligence for forensic analysis, regulatory compliance, and threat analysis, along with our adaptive DDoS products to upgrade and expand their DDoS protection. The second is upgrading to our adaptive DDoS for its advanced capability, performance, and reporting features. In all, these developments reflect our success in executing our long-term growth strategy as well as our strong position in the industry. With that, let's move to slide number eight to review our outlook. Looking ahead to the final quarter of our fiscal year, we remain focused on execution as we pursue our key objectives of delivering product innovation, achieving a return to annual revenue growth, and enhancing our margins through disciplined cost management. We continue to successfully navigate a complex and dynamic macroenvironment, including tariff-related and AI-driven supply chain dynamics. Our software-driven model helps insulate us from some of that variability, though it could influence the timing and size of certain customer orders. That said, based on our performance over the first nine months and the strength of our pipeline, we are raising the midpoint of our top and bottom line outlook for fiscal year 2026 while staying mindful of these external factors. Tony will provide more details on our outlook in his remarks. As always, we remain committed to helping customers meet the performance, availability, and security demands of today's digital landscape by leveraging the power of NetScout Systems, Inc.'s AI-ready data platform. We look forward to sharing our progress with you after we complete the final quarter of our fiscal year. With that, I will turn the call over to Tony.
Tony Piazza: Thank you, Anil, and good morning, everyone. Thank you for joining us. I'll start by walking you through the key financial metrics for both the third quarter and the first nine months of our fiscal year 2026. After that, I'll share some additional commentary on our outlook for the full fiscal year. As a reminder, other than revenue and balance sheet information, are on a GAAP basis, this review focuses on our non-GAAP results. All reconciliations with our GAAP results appear in the presentation appendix. I will note the nature of any such comparisons accordingly. Also, all comparisons are on a year-over-year basis unless otherwise noted. Slide number 10 details the results for the third quarter and first nine months of our fiscal year 2026. Focusing on the quarterly performance, total revenue for the third quarter was $250.7 million, which was relatively consistent with the same period last year at $152 million and ahead of our outlook provided last quarter. This outcome reflects the impact of timing-related shifts in customer purchasing behavior. As we noted last quarter, we had originally expected certain orders to land in the third quarter. However, a number of those were received earlier than anticipated in the second quarter. Similarly, in Q3, we observed some orders that we expected for Q4 being pulled forward as customers leveraged their remaining calendar year-end budgets. In some cases, this included service contract renewals, including backdated maintenance components. While this dynamic provides short-term support to revenue this quarter, it's important to note that it can also create unevenness across reporting periods. We monitor and manage such changes closely, and we remain guardedly optimistic given the dynamic macro environment and the potential for variability in buying patterns as customers continue to manage their budgets conservatively. Product revenue totaled $121.7 million, compared with $128.2 million last year, primarily due to the timing of certain orders between quarters. Service revenue increased 4.1% to $129 million, reflecting both underlying growth and favorable timing of service renewal orders, some of which included backdated maintenance components as well as treatment of certain enterprise license agreements. Gross profit margin was 82.8% in the third quarter, consistent with the same period in the prior year. Quarterly operating expenses decreased 1.1% year over year to $117.6 million. The decrease reflects the previously disclosed benefit associated with shifting our annual Engage User and Technology Summit out of the third quarter, where it occurred last year, to our second quarter in this fiscal year. This benefit was partially offset by an increase in employee-related costs. Our operating margin increased to 35.9% compared to 35.6% in the same period last year. We delivered diluted earnings per share of $1, an increase of 6.4% year over year. This improvement reflects, in part, the absence of a negative impact in the prior year period related to a foreign investment that we sold earlier in this fiscal year. This created a favorable year-over-year comparison for the third quarter, but the impact is not expected to have a material effect on our full-year results. Let's turn to slide 11, where I'll walk you through the key revenue trends by product lines and customer verticals. As a reminder, revenue presented is on a GAAP basis, and all comparisons continue to be on a year-over-year basis. For the first nine months of fiscal year 2026, service assurance revenue increased by 4.8%, and cybersecurity revenue grew by 9%. During the same period, our service assurance product line accounted for approximately 64% of our total revenue, and our cybersecurity product line accounted for the remaining 36%. Turning to our customer verticals, for the first nine months of fiscal year 2026, our enterprise customer vertical revenue grew 9.4%, while our service provider customer vertical revenue grew 2.2%. During the same period, our enterprise customer vertical accounted for approximately 58% of our total revenue, while our service provider customer vertical accounted for the remaining 42%. Additionally, one customer and one channel partner each accounted for approximately 10% of our total revenue during the third quarter, with no customer accounting for more than 10% of our revenue for the first nine months of the fiscal year. Turning to slide 12, this shows our revenue mix between the US and international markets. For the first nine months of fiscal year 2026, the US represented 57% of revenue, and international represented 43%. Slide 13 shows some key balance sheet items along with our free cash flow for the period. We ended the third quarter of 2026 with $586.2 million in cash, cash equivalents, short and long-term marketable securities, and investments, representing an increase of $93.7 million since the end of fiscal year 2025. Free cash flow for the quarter was $59.4 million. From a debt perspective, we had no outstanding balance on our $600 million revolving credit facility, which expires in October 2029. We currently have capacity under our share repurchase authorization and, subject to market conditions, intend to be active in the market during the remainder of fiscal year 2026 and into fiscal year 2027. To briefly recap other balance sheet items, accounts receivable net was $234.6 million, representing an increase of $70.9 million since March 31, 2025. Days sales outstanding at the end of the third quarter of 2026 was 82 days compared with 75 days in the same period in the prior year. The change in DSO in the third quarter reflects the timing and composition of bookings. Let's move to slide 14 for our outlook. I will focus my remarks on our revenue and non-GAAP earnings per share targets for fiscal year 2026. We are raising the midpoint of our fiscal year 2026 top and bottom line outlook ranges. This outlook reflects our solid execution, the continued demand for our solutions, and the resilience of our business model. Revenue is now expected to be in the range of $835 million to $870 million, representing a 3.6% year-over-year growth at the midpoint. Although we are not guiding to a specific number within the range, to provide a little color, performance around the midpoint reflects our current directional view based on what we've noted today, while the broader range captures the timing-related factors Anil mentioned earlier. This compares to our prior outlook of $830 million to $870 million. Non-GAAP earnings per diluted share is now expected to be within the range of $2.37 to $2.45 compared to the previous range of $2.35 to $2.45. A reconciliation between our GAAP and non-GAAP numbers is included in our earnings release. The full-year effective tax rate is to remain at approximately 20%, and we are assuming approximately 73 to 74 million weighted average diluted shares outstanding, reflecting our repurchase activities for the first nine months of the fiscal year. That concludes my formal review of our financial results. Before we transition to Q&A, please note that we will be on the road over the coming months meeting with investors and look forward to continuing our dialogue. With that, let's open it up for questions.
Anil Singhal: Operator?
Operator: Thank you. At this time, if you would like to ask a question, please press 1 on your telephone keypad. If you wish to remove yourself from the queue, press 2. In the interest of time, we ask that you limit yourself to one question and one follow-up. Our first question is from Simran Biswal with RBC Capital Markets. Your line is open.
Simran Biswal: Hey, guys. This is Simran on for Matt Hedberg. Thanks for taking our questions, and congrats on the quarter. I guess to start, so can I Q3 performance was good relative to expectations, realizing that the quarter benefited from some deal pull-in? And it sounds like you guys are seeing healthy demand trends, but can you comment on if some of those demand signals are actually improving?
Anil Singhal: Well, we talked about the demand being similar or improving. But we also are cautious about some of the supply chain challenges which could delay the timing of the orders because even though we are a software company, they have to run our software on servers. And if there are delays in procuring the servers, which we don't control, then that could delay the software procurement process also. But in terms of demand for both our current solution and future offering and interest in AI-based solutions, user for data for those use cases, I think it's equal or better than versus maybe six months ago.
Tony Piazza: Yeah. I would just comment that it's really about timing versus demand because demand remains strong. We have a robust pipeline. And so we've benefited from acceleration, and it's just a matter of timing in some of these deals given the dynamic environment and some of the factors that Anil had mentioned.
Operator: Okay. Got it. That makes sense. And then as a follow-up, could you quantify the pull-ins this quarter? And does your Q4 guide assume any additional deal pull-ins?
Tony Piazza: So the pull-ins were, say, approximately $15 million. A combination of product revenue and service revenue would impact both. And right now, what we've given that range, timing, again, is really the factor, and although we're not guiding to a particular number, what we see right now is something around the midpoint, and so it doesn't factor in a lot of pull-ins or anything at this point.
Operator: Okay. Great. Thanks, guys. We'll take our next question from Erik Suppiger with B. Riley Securities. Your line is open.
Erik Suppiger: Yes. Thanks for taking the question. Congrats on a solid quarter. Thank you. First off, can you walk through just how the budgets work where customers were pulling orders from the March quarter into December because I don't typically think of pulling budgets from one calendar year into another calendar year the way they do maybe from Q4 of the calendar year into Q3. But then secondly, can you talk a little bit about the use case that is driving the service assurance business? It seems like your enterprise business was strong. And could you just provide some detail about what kind of maybe AI use cases are driving the service assurance uptick that you saw?
Anil Singhal: Good. Thanks, Erik. So I think, first of all, it's always interesting because many of our customers are not on the same fiscal year as we are. And that has left our budget for them even though it's a quarter three for us, it's a quarter four for them. And sometimes, it takes time for the budget to set in in the new fiscal year. So if they have a demand and they want to use up all the budget they can. And that's what happens typically all the time. This time, we saw even in Q2, because of the federal fiscal year ends at that time. Now coming back to service assurance, at some point, we might start separating some of the revenue, but it's too small right now. But if you look at there are two use cases of our data in the service assurance market. One is the traditional service triage. Somebody says, you know, I have an IT issue and why don't you use NetScout Systems, Inc.'s product to troubleshoot? And so our smart data, which is our differentiator, we have over 100 patents in that area, which converts in real-time packet data or conversation data to telemetry that was not benefiting the use case outside of our own applications because they didn't have the ability to consume that. And in the future, even agentic AI can take advantage of that. So AI use cases simply mean that you can use the slightly enhanced data which is used only by our own application in service assurance, can now be mixed with other use cases for companies like Splunk or, as I mentioned, the Genetic AI. And so now IT people and other businesses can use it for similar data for other purposes. And that's our AI use case. So now we are not just limited to the use case of the application NetScout Systems, Inc. had developed, which is the ingenious one, but can also be used for AI-related use cases, which is a big variety of those.
Erik Suppiger: Can you quick comment on how much that was a contributor in the quarter?
Anil Singhal: I don't know in the quarter, but maybe for the nine months, it was about $15 million. Yeah.
Erik Suppiger: Very good. Thank you.
Anil Singhal: Yep.
Operator: We'll take our next question from Kevin Liu with K. Liu and Company. Your line is open.
Kevin Liu: Hi, good morning, guys, and let me add my congrats as well here. Maybe starting with your service provider business. Obviously, there are various competitive dynamics, and they're all kind of impacting both wireless folks and the traditional cable on the so a little differently. So just wondering, you know, what you're seeing in terms of kind of their appetite to spend, whether there's any sort of difference between kind of the two sides of the coin there.
Anil Singhal: Alright. So there is no they may have their own competitive dynamic between the carriers. There is no dynamic versus NetScout Systems, Inc. I mean, most of the players are privatized companies. They're much smaller than us, and in some sense, they're struggling for budgets and things like that. Yeah. We do have price pressures from them. And so when there is RFP, we have to deal with the next best player. And, usually, the competition is pricing, which sometimes affects our deal size. What is happening on the service provider side is, especially in the US, there have been big layoffs. And at some of the many companies, and despite some of the monetization opportunities of 5G slicing, there's constant pressure certainly in the service assurance area. But we are hoping there'll be less pressure even for these people in the cybersecurity and AI area. But our AI initiative is in its very early stage. So we think that the service assurance portion of the service provider will continue to be challenging next year also. But it'll be more than made up by good or better environment in DDoS. And definitely in the new areas of AI is all upside.
Kevin Liu: Understood. Appreciate the color there. And just wanted to parse out, you know, some of the impacts to you guys on the supply chain, specifically around component costs and availability. I know you guys ship more of it software only nowadays, but just wondering, you know, how you're feeling about your ability to maintain kind of your product gross margins given the cost environment. And then to your point on the kind of shortages potentially impacting timing, are your customers starting to order product from you with longer lead times and you'll you guys will carry more backlog? Or how are they responding to kind of the current shortages?
Anil Singhal: So lead time for NetScout Systems, Inc., very few people buy our appliance-based product with hardware comes from us, and we have enough supply there to deal with that. But we sell less and less of those nowadays. So the lead times of the hardware, buy directly from the server vendors like Dell and all those, those are really impacted, they might impact the timing of software orders also. And so far, we have not seen a big impact related to that, but moving forward, they could be tied together, and we might see some delayed orders. As it comes to margins, since we are not shipping the hardware, the increased cost for the servers which they use to run our software doesn't really impact our margins. It affects the timing and timing of the orders, definitely timing for deployment. But it doesn't affect the margin. Tariff impact has been very small, but yes, that impacts some margin only for short-term deals when a customer says I have allocated only so much money for the hardware, and so we may have to discount the software slightly, and it may have a small impact on the margin, but we have not seen much so far.
Tony Piazza: And I would just echo what Anil says. It's really more about does it affect our customers' timing and behavior versus our direct cost because the majority of our revenue is in services and software. And so in our cost of sales, the direct material cost isn't that significant. And so yeah, any implications on that can be managed or mitigated through either price increases, working with our vendors on absorption, or if we had to absorb something ourselves. So we don't see the cost element as material to us.
Kevin Liu: Understood. Thanks for taking the questions.
Scott Dressel: Thank you.
Operator: And this does conclude the question and answer portion of today's call. And this does conclude the NetScout Systems, Inc. Third Quarter Fiscal Year 2026 Financial Results Conference Call. Thank you for your participation. You may now disconnect.